Operator: Good morning and welcome to BioXcel Therapeutics' First Quarter Earnings Conference Call and Audio Webcast. Before we start, I would like to inform that this conference is being recorded and that all participants are in a listen-only mode. At the request of the Company, we will open up the conference for questions-and-answers after the presentation. [Operator Instructions] Just to remind everyone, certain matters discussed in today's conference call or answers that may be given to questions asked are forward-looking statements that are subject to risks and uncertainties relating to future events and/or the future financial performance of the Company. Actual results could differ materially from those anticipated in these forward-looking statements. The risk factors that may affect results are detailed in the Company's most recent public filings with the U.S. Securities and Exchange Commission, including its annual report on Form 10-Q for the quarterly period ended March 31, 2020, which can be found on its website www.bioxceltherapeutics.com or on www.sec.gov. I would now like to turn the conference over to Vimal Mehta, Chief Executive Officer of BioXcel Therapeutics. Please go ahead.
Vimal Mehta: Thank you, operator, good morning everyone, and thank you for joining our conference call to discuss BioXcel Therapeutics financial results and business highlights for the first quarter 2020. We appreciate everyone's time and attention. Joining me for the call today are Richard Steinhart, Chief Financial Officer; Frank Yocca, Chief Scientific Officer; and Vincent O'Neill, Chief Medical Officer. Before we begin, I want to take some time to address these unprecedented times, the COVID-19 pandemic, the crisis that has created uncertainty around the world has truly affected each and every one of us. I personally want to thank all health care workers who are tirelessly fighting on the frontline, caring for patients and preventing the further spread of the virus. Their hard work deserves our everlasting gratitude. Following the guidance from the U.S. Centers for Disease Control and Prevention in the State of Connecticut, we have made vital adjustments across our company aimed at protecting our employees' health and safety while maintaining key activities needed to advance the development of our clinical programs. The BioXcel team remains motivated and on track to reach our 2020 milestones. In order to monitor the potential impact of this pandemic on our ongoing trials, we have been in close contact with our clinical sites. To-date, we have not experienced any significant delays in our ongoing clinical trials and have made great strides with clinical programs. We will continue to closely monitor the COVID-19 situation and provide any updates as needed. Shifting our discussion back to our corporate highlights, I would like to first discuss our lead neuroscience clinical program BXCL501. As a reminder, BXCL501 is our proprietary thin-film formulation of dexmedetomidine, or Dex, for the acute treatment for the treatment of acute agitation. We have designed this candidate to be easily administered and have a rapid onset of action in order to produce a calming effect without excessive sedition. We have made key advances this quarter in our pivotal trials SERENITY 1 and 2, which are Phase 3 studies of BXCL501 for the acute treatment of agitation in patient with schizophrenia and bipolar disorder. Back in March, we announced that more than one-third of the patients in both trials had been enrolled and treated, enrolment continues to be progressing as planned, and we have not observed a change in enrollment rates due to the COVID-19 pandemic. We are on track to report top line data from the SERENITY program in mid 2020, and we'll communicate updates as we get closer to our clinical data readout. It is important to note that all schizophrenia and bipolar patient enrolled has successfully self-administered the BXCL501 treatment guided by a healthcare provider. With our pivotal program read out only a few months away, we are hopeful that we will be able to submit our first NDA for BXCL501 during the first half of 2021, bringing a non-invasive fast-acting treatment within millions of patients, who suffer from acute agitation associated with neuropsychiatric disorders. Our clinical progress continued with the initiation of TRANQUILITY. This study is a Phase 1b trial for the treatment of acute agitation in geriatric dementia highlights the potential versatility of neuro of our neuroscience program in treating disorders beyond neuropsychiatric conditions. Since the TRANQUILITY trial has an adaptive design, we are currently reviewing safety and tolerability data in order to choose the next testing dose. This trial's enrollment is on track and top-line data is expected in mid 2020, with off-label drugs having a black-box warning for the elderly and no FDA approved therapies to treat agitation in geriatric dementia. There is a desperate need for the safe and effective treatment for patients that struggle with this psychological behavior. We designed BXCL501 to be a fast-acting, easy-to-administer therapy to try to fill this unmet need and provide a treatment, if approved for caregivers that have trouble managing dementia related agitation. In parallel, we continue to investigate the use of wearable digital device technology such as the Apple Watch to hopefully enhance the prevention and treatment of dementia-related agitation. Considering this patient population is among the highest risk category for severe illness and that associated with COVID-19, we have taken this precautionary measures to preserve the safety and health of our elderly patients. For the TRANQUILITY trial, all BXCL501 doses have already been manufactured and have been provided to the long-term care facility running the TRANQUILITY study, reducing the risk of exposing the patients. Additionally, we are continuing our investigation of BXCL501's calming capabilities through the initiation of a Phase 2 study being performed by researchers at Yale University. The aim of this study is to assess the biomarker associated with agitation such as skin conductance response, heart rate variability and blood pressure in patients with schizophrenia and their response with treatment with BXCL501. Managing agitation is a challenge for both physicians and caregivers and being able to use these biomarkers as an initial signal prior to the onset of visible symptoms should be very beneficial. These bodily signals would provide sufficient time for caregiver to deliver BXCL501 to patients before an agitation episode becomes dangerous. Even though this study has been performed only on the schizophrenia patients, we believe this trial will help open the door to investigate the potential use of BXCL501 and additional indignation that exhibit similar physiological signals of hyperarousal, expanding the potential market of this candidate into chronic agitation. To wrap up this quarter's neuroscience highlights, we received FDA clearance of our IND application for BXCL501 for the treatment of opioid withdrawal symptoms, a potential fourth indication for this candidate. As the number one cause of death in the U.S. for individuals under the age of 50 years old accidental drug overdose is rampant in this country with the majority of fatalities opioid related. Furthermore, opioid withdrawal can be very debilitating and uncomfortable, and many addicts continue to take these drugs or relapse to avoid feeling these disturbing symptoms. There is a desperate need for new efficacious treatment options to help aid his underserved population from continuous abuse. Due to BXCL501 intrinsic potency favorable delivery method and mechanism of action, we feel this candidate has a potential to offer advantages to treating withdrawal symptoms, helping to come back and abusers urge to relapse. We are encouraged by the promising results we've witnessed with intravenous drugs in alleviating withdrawal symptoms, and we are planning to initiate the RELEASE trial, a Phase 1b/2 trial for the treatment of patients experiencing symptoms of opioid withdrawal shortly. This past quarter, we have focused our efforts on expanding our neuroscience programs, clinical development strategy, exploring numerous indication in hopes of reaching an extensive patient population. We believe BXCL501 offer the differentiated therapy to treating the millions of patients that suffer from hyperarousal and lack effective alternative. We are focused on increasing the commercial value of these candidates and plan on exploring BXCL501, as a potential treatment for acute agitation and hyperactive delirium as well as for chronic agitation. Turning the conversation over to our immuno-oncology clinical candidates, BXCL701, our orderly over available systemic innate immunity activator designed with a dual mechanism of action. Recently, we announced that we are initiating the Phase 2 efficacy portion of the Phase 1b/2 trial of BXCL701 in combination with KEYTRUDA for treatment emerging neuroendocrine prostate cancer or tNEPC. Results from the Phase 1b safety leading showed that a split dose totaling 0.6 milligram per day is a recommended dose, when used in combination with KEYTRUDA. This split dose has shown on target side effects consistent with cytokine activation and has an improved safety profile. In the Phase 2 efficacy trial, approximately 30 eligible men with tNEPC will receive 0.3 milligram of BXCL701 twice daily on days 1 to 14 of each 21 days cycle plus 200 milligram of KEYTRUDA administered intravenously on day 1 and then every 21 days. We expect to report initial interim data from the Phase 2 trial in the fourth quarter of 2020. Currently, there are no approved treatments for tNEPC, a rare and highly aggressive form of prostate cancer. We believe BXCL701 has a potential to be an effective treatment for the subpopulation as it creates an aggressive adaptive immune response, making tumor much more reactive to immunotherapy including KEYTRUDA. Furthermore, the Company is also advancing the clinical evaluation of BXCL701 via the ongoing open label Phase 2 basket trial conducted at the MD Anderson Cancer Center. This study is evaluating the combination of BXCL701 and KEYTRUDA in patient with advanced solid cancer that are either naive to or refractory to Checkpoint therapy and is following the dosing schedule using the Phase 1b/2 study for tNEPC. The combination trial of BXCL701, Bempeg from Nektar and Avelumab from Pfizer and Merck KGaA in pancreatic cancer will start following the completion of Nektar and Pfizer's Phase 1b safety study of Bempeg and Avelumab and the outcome of that trial. In February, we raised net proceeds of approximately $60 million in a public offering which had to significantly strengthen our balance sheet. This cash together with our current reserve provides BioXcel enough cash runway to fund preclinical regulatory and operation milestones into 2021. With that, I would like to turn the call over to our CFO, Richard Steinhart. Richard?
A - Richard Steinhart: Thanks, Vimal. Once again, thank you all for joining us this morning and welcome to our shareholders. BTI reported a net loss of $14.9 million for the first quarter of 2020 compared to a net loss of $7.2 million for the same period in 2019. The first quarter of 2020 results include about $800,000 in non-cash stock-based compensation. The increase in net loss was primarily due to costs associated with our pivotal Phase 3 trials. Research and development expenses were $12.4 million for this first quarter2020, as compared to $5.7 million for the same period in 2019. The increase was primarily due to an increase in clinical trial costs, salaries, bonus and related costs, professional research and project related costs, and chemical manufacturing and controls related to our BXCL501 and BXCL701 product candidates. General and administrative expenses were $2.6 million for the first quarter of 2020 compared to $1.7 million for the same period 2019. The increase was primarily due to professional fees for legal and patent matters. Total operating expenses for the first quarter of 2020 were approximately $15 million, as compared to total operating expenses of approximately $7.4 million for the same period in 2019, with cash and cash equivalents of $80.1 million as of March 31, 2020. That concludes this financial review the first quarter. Now I'd like to turn the call back to Vimal for any further comments. Vimal?
Vimal Mehta: Thanks, Richard. We would now like to open the call for questions. Operator.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] Our first question today comes from Geoff Meacham of Bank of America. Please proceed with your question.
Scott Puckhaber: Hey, guys, this is Scott on for Jeff. Thanks for taking our questions. I wanted to ask about the Phase 1/2 study for 501 dementia, it sees the doses are lower as 30, 60, 90 micrograms due to the elderly patient population. However, in the Phase 1b trial in schizophrenia, the 60 microgram was not statistically significant. So, I was wondering, if we should anticipate a tighter window for success given the need to balance dosing and efficacy in these patients? And then as a follow-up for 701, you recently noted the 0.6 milligram dose is recommended and the splitting the dose can be associated with improved safety profile. There certainly concerns around the safety for 701 given the drugs prior history. So, can you give us any insight into whether splitting the dose might impact efficacy for any reason and the potential concerns you're seeing around dosing it as a once daily? Thanks.
Vimal Mehta: Scott, this is Vimal. I'm going to pass this question to Rob Risinger, who is our VP of Clinical Neuroscience, to answer the 501 question and then Vince will pick-up the question related to be BXCL701. Rob?
Rob Risinger: The dose range in schizophrenia, we're not banking, if you will on a thing identical in dementia, as you pointed out, they are older, they tend to be more frail. And so, we are testing a slightly different dose range simply to determine the doses that may be safe, but also effective.
Vimal Mehta: Vince.
Vincent O'Neill: Thanks Scott for the question. So, on 701, that was really around splitting doors versus no I believe. So, what we saw on the once daily dosing to non-split dose at 0.6 milligrams or 600 micrograms was an event of syncope, and this was presented at the ASCO GU poster just a couple of months ago. And that required is to expand the cohort or otherwise, essentially identify a better tolerated dose and schedule. What we found is that by splitting the dose, we no longer saw those types of events. We certainly still saw some on target toxicity. And in oncology, as you know that's not necessarily a bad thing at all. It speaks that the drug is doing, but it's expected to do. But the event of syncope, we're simply no longer present. So, that's that -- we believe we fix the tolerability by splitting the dose. Hopefully, that answers your question.
Operator: The next question is from Robyn Karnauskas of SunTrust Robinson Humphrey. Please proceed with your question.
Robyn Karnauskas: So, first of all, can you give us some data points on what steps need to be completed in order to start the opioid withdrawal trail? And what are the rate limiting steps? And then, do you think that we can still see -- do you think we can still data this year? And then on 701, so when you think about what you've learned on the Phase 2 profile, what is the safety sort of hints around the efficacy of the drugs? Did you learn anything about if the drug is working in the way it should be working? Just give some thoughts on what you've learned so far from the early data? Thank you.
Vimal Mehta: This is Vimal. Regarding the opioid withdrawal trial, we had all the pieces ready to go to initiate the trial, and we were running three trials in SERENITY 1 and 2, our pivotal Phase 3 integrative TRANQUILITY trial and this COVID situation arose. We made a conscious choice as a company to, like, not start the opioid withdrawal right in the middle of COVID-19. In the interest of our interest of our employees, our partners, employees as well as for the patient safety, as you might have noticed that COVID-19 is creating even a bigger opioid crisis, which is in the press all over the place. The number of patients are plenty and they keep coming to the site and that's what have we had been advised by our CRO and the clinical site. We could initiate this study anytime I don't think there is any rate limiting step, and we will provide the guidance shortly as we indicated that we are about to initiate at that time. So, we are in a good position to initiate that opioid withdrawal task. Regarding the 701 question, I will ask Vince to weigh in what we have been able to observe besides the safety, any signal from the efficacy aspect. Vince?
Vincent O'Neill: Sure. Thanks Vimal, and good morning, Robyn. So, again, I'm going to pivot back to the data that we presented at the ASCO GU. In terms of the learnings, I think an important one is that, this drug seems to be a strong activator of innate immune system. And I think that's important because thus far, many of the other potential approaches to activating and innate immunity have been weak. So, we do see things like fever and chills, myalgia and puffy ankles, all of which are actually transient. They tend to settle down after the first or second cycle. What we did see, as I mentioned from the previous question, was hypotension one episode of syncope by splitting the dose. The hypotension events seem to have mitigated substantially. And yet, we see -- we still see the remainder of those on target toxicity. So, our belief is that we have a strong innate activator that is at the same time safe and of course, you'll know, we have a large safety database behind the drug already at this point. So, that's one important learning and we haven't released any new data from the ASCO GU or since the ASCO GU presentation. But I would simply point out that, on efficacy, I mean, this is the 1b portion. This is fundamentally a safety study. The majority of patients were stable on disease and remained on study at the time of that presentation.
Robyn Karnauskas: Can you just also give an update on the other trial on going with 701, and if they're proceeding with any issues, due to COVID. And just the latest update there and when we can see the next dataset from 701? Thank you.
Vincent O'Neill: Sure. So I'll take them off. I mean, I'll take the triple combination study first. So I think, as we've mentioned, the doublet of Bempeg from NKTR-214 plus avelumab has to be combined before we add in 701. And so that studies is in the hands of Pfizer. Pfizer did announce maybe six weeks ago they were pausing all trials. They announced approximately a week ago that they're reopening all trials. So that study was underway as patients were enrolled and it's now reopen again to accrual. So our anticipation is that, as we previously guided, we will add in the 701 portion to that doublet, once we have safety data later on this year. So, that's the triple combination. And then the MD Anderson study, and that's an important part of the development plan. As you're aware, that's in hot tumors, both in patients who are KEYTRUDA naive and also patients who feel KEYTRUDA progress through it. And that study is opened. It opens just at the turn of the year. And that's progressing -- again consistent with guidance, we're anticipating be able to present data at the end of the year from our trials.
Operator: The next question is from Guyn Kim of BMO Capital Markets. Please proceed with your question.
Guyn Kim: I was hoping you could review for us what you or could be -- what would be considered clinically meaningful in terms of reduction in the SERENITY trials. And when you look at the ADASUVE studies, you saw a slightly benefit in bipolar patients versus placebo than for schizophrenia. Is that something you also expect? Or is it just within normal variability for agitation studies?
Vimal Mehta: I will ask Rob to answer the question about schizophrenia versus bipolar. Rob?
Rob Risinger: Yes. So, the difference between schizophrenia effect and bipolar effect for antipsychotics tends to be relatively minimal. There I realized that ADASUVE had a slightly better efficacy in bipolar patients than schizophrenia. We're seeing from the 1 or 2 data, the Phase 2 or the acidotic dose trial that we did. We saw a clinical benefit on improvement by CGI of 1 point equated to an improvement on the PAN's Excitatory Component score of around 2 to 3 points. So, we expect to see a similar effect for patients with bipolar as schizophrenia. If possible that it'll be greater. But we -- that remains to be seen. I could wax on about potential reasons why it might be more efficacious in bipolar than schizophrenia having related to, for example the autonomic nervous system and the relationship of activation in bipolar patients who are agitated and manic or hypomanic, but we'll know a lot more once we have the actual data. So, short answer, don't know if there will be a difference, it would be interesting, but we're not counting on that in terms of the powering of the trial.
Guyn Kim: And do you still see a negative 3 point reduction in PEC score as the bar for clinically meaningful in either patient population?
Rob Risinger: Yes, it's about, yes. We were able to demonstrate that in the smaller study and really expect that, that degree of change would represent a clinically meaningful improvement.
Guyn Kim: And could you also speak to the rising cases in delirium in hospital ER settings due to COVID-19? And whether you should actually start looking at a 501 study in that setting now versus later?
Vimal Mehta: So, Guyn, this is Vimal. As there is a lot of press around like these COVID-19 patients who are elderly due to pre-intubation as well as post-intubation of or mechanical vendors use, they are getting delirium. And there are tons of reasons why they are getting it, but a lot of patients are getting that. So, we continuously evaluate how we can help these patients and we talked to key opinion leaders and explore those opportunities. In terms of delirium program, we already -- it's a strategic part of our development, so we are trying to speed up that, considering that this is a tremendous need in the hospital settings for treating the agitation resulting from delirium for the benefit of COVID-19 patients as well as for our own strategic reason. So, Rob, would you like to add anything on that?
Rob Risinger: I would just say that, the API for BXCL501 dexmedetomidine is already come in the use to treat delirium in the ICU setting. And so, we do see that as a sort of low hanging fruit and we're exploring potential development options in that area.
Operator: The next question is from Sumant Kulkarni of Canaccord. Please proceed with your question.
Sumant Kulkarni: First one on 501, and then I have a follow-up on 701. So we've seen some developments on the competitive side in chronic management of agitation in Alzheimer's patients. How specifically do you expect to potentially bridge from acute treatment of 501 to the chronic management side, if that's possible? And on 701, we were encouraged to see your progress into the Phase II efficacy part of the trial for tNEPC in combination with KEYTRUDA, but could you give us a sense of what to expect in terms of the bar you might need to hit on efficacy and how to potentially parse out single-agent activity of 701 versus activity of the combo?
Vimal Mehta: Thanks Sumant. Regarding the 501 question related to -- can you please repeat the question? Since I want to make sure we answer it right.
Sumant Kulkarni: Sure. So the question specifically was we've seen some developments on the competitive side on chronic management of agitation in Alzheimer's patients. You have a product right now that has -- is in development for acute agitation. How could that potentially be translated to maybe chronic management of agitation also in the longer run?
Vimal Mehta: Great question. I think we see that any success related to treating agitation in dementia/ Alzheimer's is a big progress. Currently, as you know, there are no treatments available to treat these patients. Under those circumstances, we all know neurological conditions as they progress, the agitation episode or spectrum searching. You may be in a pre-agitation state then you go to a sporadic agitation and sub chronic agitation and chronic agitation. So any kind of a treatment that can treat chronic agitation will be good because that can help reduce number of episodes, but still, if you think about the agitation that's happening and acute agitation that's still happening in these patients. And in the beginning, you have sporadic agitation there is no need to use a chronic agitation when agitation can be treated with a something that is a acute treatment as well as in sub-chronic. So the way we think about this is, the sporadic can be two episodes a month and do you really need a chronic agitation or it could be two episodes a week still sub-chronic treatment will be sufficient. In the -- ones it does become chronic and there is a treatment that can be effective in reducing number of episodes, but they still want to have breakout episodes so that we were 501 will fit in as well as some of the chronic agitation drugs take quite a long time, 6 to 8 weeks to become effective, and you need to manage the patient. So, we think that both 501 for acute treatment of agitation will fit in very well with any chronic agitation. It will help in fact support and build the market, if treatment is available for both kinds of situations. So, did it answer your question or I'm happy to embellish more on it.
Sumant Kulkarni: No, that's great. Thanks.
Vimal Mehta: So, regarding the 701 question, I will pass it on to Vince to describe what the bar is and what to expect from our neuroendocrine prostate cancer trial?
Vincent O'Neill: So, I think the question was really twofold. So, one is what made the bar be and how will we know the contribution of 701 or the individual contribution, right? So, I think the latter question first and there has been a study with single agent KEYTRUDA. This was really why we didn't not include an internal KEYTRUDA alone control arm, in a similar, not identical, but similar population. And in that setting, this was a cancer-resistant prostate cancer group of patients who had treatment with ADT or androgen blockers. And in that setting, the response is very low indeed, it's between 3% and 5%. And so, I think we have a reasonable handle on what KEYTRUDA can do in this classic cold tumor. Given the fact that there is no standard of care here and we believe the response rate -- provided it's durable, okay and that's a feature obviously, of immuno agents. Our response rate and team's typically 15% or above, would be of interest to the field, and actually would move the field on quite substantially.
Operator: The next question is from Samir Devani with RX Securities. Please proceed with your question.
Samir Devani: My question is actually on the delirium study you're planning, looks like again, coming back to dosing. Looks like you're exploring 20 and 60 micrograms in that study. So, I guess, could you perhaps just elaborate on how that compares to what's currently being used with the intravenous product currently, and also whether there are any extra R&D costs associated with that program this year? Thanks very much.
Vimal Mehta: Regarding the delirium, we have not spelled out what the plan is, what doses we will be using, because that's still in the planning stage. Dementia, obviously it's on the clinicaltrial.gov and delirium is in a planning stage. Considering that there is such a big pandemic situation with COVID-19 and these patients are in need, we are kind of speeding up development. As part of our overall strategy, we always do a Phase 1b/2. These trials don't tend to be that much capital intensive and we do it on short number of patients, as you have seen with our schizophrenia and dementia. And these trails tend to be like an enrolled rapidly and finished fast. So because of all those reasons, we don't see much impact on our clinical trials spend, but there will be some. And we are still in the planning stage. We will provide the guidance once we have all pieces come together when this trial will start and when we can provide the data readout on delivery.
Operator: There are no additional questions at this time. I'd like to turn the call back to Vimal Mehta for closing remarks.
A - Vimal Mehta: Thank you again for joining our call today. During the first quarter of 2020, we remain focused on advancing the development of our two clinical programs BXCL501 and 701 with key data readouts occurring in the coming months. Have a great day. And please reach out to us, if you have any additional questions. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.